Operator: (Operator Instructions) I would now like to turn the conference over to your host for today, Sandy Dowd (ph), Assistant General Counsel. Please proceed.
Sandy Dowd: Good morning. Welcome to the Medical Properties Trust Conference Call to discuss our second quarter 2010 financial results. With me today are Edward K. Aldag Jr., Chairman, President and Chief Executive Officer of the company; and Steven Hamner, Executive Vice President and Chief Financial Officer. A press release was distributed this morning and will be furnished on Form 8-K with the SEC. If you did not receive a copy, it is available on our website at www.medicalpropertiestrust.com, in the Investor Relations section. Additionally, we are hosting a live webcast of today’s call, which you can access in that same section. During the course of this call, we will make projections and certain other statements that may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to known and unknown risk, uncertainties and other factors that may cause our financial results and future events to differ materially from those expressed in or underlying such forward-looking statements. We refer you to the Company’s reports filed with the Securities and Exchange Commission for a discussion of the factors that could cause the company’s actual results or future events to differ materially from those expressed in this call. The information being provided today is as of this date only and except as required by the federal securities laws, the company does not undertake a duty to update any such information. In addition, during the course of the conference call, we will describe certain non-GAAP financial measures, which should be considered in addition to, and not in lieu of, comparable GAAP financial measures. Please note that in our press release, Medical Properties Trust has reconciled all non-GAAP financial measures to the most directly comparable GAAP measure in accordance with Reg G requirements. You can also refer to our website at www.medicalpropertiestrust.com for the most directly comparable financial measures and related reconciliation. I will now turn the call over to our Chief Executive Officer, Ed Aldag.
Edward Aldag: Thank you, Sandy. The second quarter of 2010 was a watershed quarter for Medical Properties Trust. After very prudently safeguarding the company’s strong financial position throughout the recent world credit crisis. We were not forced as many other companies were to recapitalize our balance sheet. In contrast, our sound financial position enabled us to wait until the markets returned to a more normalize level and we were ready to begin our acquisition growth mode. In the second quarter, we completed a very successful equity race and entered into a new and expanded and credit facility, both of which Steve will go through in more detail momentarily. Through these actions, we greatly reduced our debt, eliminated all of near-term debt maturity worries and provided MPT with more than half a billion of liquidity to restart our acquisitions activity. We took advantage of that liquidity right way. As we’ve been saying for quite sometime, the opportunities available to us in quality acquisitions are bonded. During the second quarter, we acquired three properties for an aggregate investment of approximately $74 million. Each of these properties is an in-patient physical rehabilitation hospital leased to affiliates of Reliant hospital partners. They are located in Houston, Dallas and also in Texas. They each have 50 to 60 rehab beds and one has 25 skilled beds in addition to the rehab beds. The facilities opened in January ‘09, January ‘08, and June ‘08, respectively. The trailing 12-mont EBITDA released covered ratios at the time of acquisitions average above two times. The going in cash cap rate only is existing in well-performing properties was 9.7%. The leases have approximately 23 years remaining on their terms. We also invested an additional $5 million in the Prime Desert Valley Hospital as part of a previously announced total $20 million expansion. The expansion will add 65 private patient rooms to the current 83-bed campus. The expansion will consist of 53 medical and surgical beds, a 12-bed coronary critical care unit and all-inclusive cardiac surgical unit and two new cardiac CAT (ph) labs. We are currently negotiating with several of their operators that are not currently tenants of MPT for other hospitals all across the country. We hope to be able to report some more acquisitions in the near future. We still feel very confident about our ability to put our liquidity to work in a timely fashion. With the addition of the Reliant Hospitals and the disposition of the Prime Centinela Hospital announced during our last call, our exposure to our largest tenant has now been reduced to 27.5% of our total assets. And as you’ve heard me say over and over, one of the most important measures of diversity for any REIT is the total exposure on a property by property basis and in that regard; our largest exposure is now 6.5% of our total assets. The next largest facility is 4.9% of our total assets. Now, turning to the operations of our existing portfolio tenants, we continue to be pleased with the overall performance as our portfolio continues to be one of the strongest in the healthcare REIT industry. In an effort to remove any seasonal abnormalities and to show what we believe are better indications of total performance, we’re going to discuss EBITDA released covered ratios in terms of trailing 12-month numbers. In our Hospital portfolio, when comparing the trailing 12 months quarter over quarter for Q1 2010 to Q2 2010, the coverage was slightly down. Overall, the EBITDA released covered ratio went from 6.93 times to 6.77 times. At our LTACH portfolio, when comparing the trailing 12 months quarter over quarter for Q1 2010, the Q2 2010, the coverage was flat. Overall, the EBITDA released covered ratios stayed the same at 2.15 times. In our Rehab Hospital portfolio, with comparing the trailing 12 months quarter over quarter for the same periods, the coverage was slightly up. Overall, the EBITDA released covered ratio for the rehab hospitals increased from 3.1 times to 3.24 times. All but one of our publicly reporting companies has reported their second quarter results and each saw increases in their volumes and their EBITDAs year-over-year for the same quarter. There’s no news to report on our River Rose campuses other than we continue to work with a purchaser for the South campus and we are working with several potential tenants to lease floors on the North campus. We’ve also engage the team to begin the hurricane renovations for that campus. We are still very encouraged about the ultimate prospects of returning to North campus to productivity at a level greater than when it before closed. On Monroe, we are currently negotiating with four major systems about taking over operations there. At this time, we’re unable to get it to anymore specifics than that due to restrictions under various confidentiality agreements. To reiterate my statement at the beginning of the call, this past quarter was purely a watershed quarter for MPT. We’re stronger in every aspect today than we have ever been and we’re excited about the future. Steve, at this time, I’d like to ask you to go over the financial results and our equity offering in the credit facility in more detail.
Steven Hamner: Thanks, Ed, and good morning, everyone. I will run to the highlights of our second quarter results, provide a brief review of the recap activities and then we’ll open up the call for your questions. For the second quarter of 2010, we reported this morning, normalized FFO of approximately $14.9 million and adjusted FFO of approximately $27.7 million or on a per share basis $0.14 and $0.27, respectively. This is in line with our estimates after adjusting for certain non-routine items primarily consisting of property related expenses and other expenses that aggregate to about $1.9 million or $0.02 per share. Excluding the non-routine items, the per share calculation was $0.16. The announcement that was release earlier this morning has a detailed table describing these items, so I will go through them just briefly and address any further questions a little later. Primarily due to the repayment by Prime of $40 million in operating loan that had been made by one of our taxable REITs subsidiaries, we reduced our deferred tax asset by about $1.2 million. Secondly, we incurred about $1 million for expenses at dark properties primarily River Oaks and Sharpstown. A new accounting pronouncement became effective this year that requires us to expense acquisition cost as incurred instead of capitalizing them to the cost of the acquired asset. We incurred a little more than $900,000 in acquisition cost during the quarter, of which about 600,000 related to the successful acquisition of the Reliant asset. Almost all of the remaining 300,000 relates to possible acquisitions that are still live. In the past, none of these would have been expensed in this quarter and at least the 600,000 would have been capitalized. On the positive side, we finally and completely settled all remaining litigation regarding the former Houston Town and Country and received almost $900,000 in indemnity payments from the plaintiff who sued us. The aggregate effect of these amounts again was to reduce FFO and AFFO by about $1.9 million or $0.02 a share. Separately, included in AFFO but excluded from FFO for the quarter is $10 million or $0.10 per share of additional rent related to the Shasta Regional Medical Center. As we have previously disclosed, the company collected $12 million during the quarter, of which almost $2 million had been recognized previously through accrual of straight line rent. The remaining $10 million will be recognized as built, built rent that is over the remaining term of the lease, which is about another 8.5 years. Regarding net incomes, for the three-month ended June 30 was $6.2 million or about $0.06 per diluted share compared with the prior year period of $7.9 million or $0.09 per share. Net income includes the effects of debt restructuring cost of $6.2 million or $0.06 per share related to the cash tender offer of our 2011 exchangeable note and determination of two term loans and severance of about $2.8 million or $0.02 per share related to the previously announced departure of one of our executives. Taking a look at this numbers for this quarter versus a year ago, the per share amounts were affected by an increase in the weighted average diluted common share outstanding to $103.5 million for the three months ended June 30, 2010. This is up from 78.6 million shares for the same period in 2009 and is primarily due of course to the common stock offering of almost 30 million shares completed in April of this year. So, the revenues for the three-month ended June 30, were $31.2 million compared with the year ago quarter of $29.3 million. I’d now like to briefly review the recapitalization initiatives we completed during the quarter through which we have created a very strong platform for renewed growth for MPT at a time when we believe the opportunities for acquisition have not been better. We took several actions to shore up capital over this time period, first, completing a stock offering of almost 30 million for almost $280 million in that proceeds. We also Centinela Hospital back to Prime for $75 million and received $40 million from Prime in early payments on operating loans. We received a $12 million from Prime in full payment of Shasta additional rent as I just mentioned, and aside from providing a substantial infusion of liquid capital from these transactions, they also have the intended affect that Ed just mentioned of reducing our overall exposure to Prime to about 27.5% of total assets. As we have said earlier, we do expect to continue to invest in Prime Properties as they have proven to be very effective and capable operators. That being said, we further expect that our investments and tenant other than Prime will outpace investments that we make in Prime going forward. Turning to the debt side of our recapitalization activities, during the second quarter, we completed a new $450 million credit facility, which included a $300 million revolver and a $150 million six-year term loan B facility, and by the way, we just received the commitment for an additional $30 million under the accordion features of the revolver. We used the proceeds of the equity offering and the new term loan to retire our former revolver facility as well as our $30 million term loan with key bank and a separate $64 million term loan and we also paid down a second revolver for approximately $40 million. In addition, we announced the cash tender offer for our November 2011 exchangeable notes and approximately $113.2 million or 82% of the aggregate principal amount of the note were tendered. Subsequent to expiration of the tender offer and additional $3.1 million of notes were retired. As a result, we have about $21.7 million outstanding under this offer as of June 30, which has an interest coupon to us of 6 and 180% (ph). So, in terms of debt maturing, we now have only about $120 million in total maturities looking out over the next five years. The remainder of our funded debt about $267 million does not mature until 2016. Lastly, during the quarter, we completed two interest rates swap for an aggregate of $125 million in (inaudible) all amount. This includes $65 million that was scheduled to begin floating in July 2011 for five years with the remaining $60 million scheduled to begin floating in October of that same year also for five years. On a blended basis, we are presently paying approximately 7.7% fixed interest on those notes. However, as a result of the swap transactions, we will be paying a fix rate of only about 5.7% starting on August 1, 2011 and November 1, 2011, respectively. That represents a savings of approximately $2.5 per year, again commencing in August of next year. As of August 4, 2010, the company had approximately $450 million in available liquidity through cash balances and credit facilities for investment in new hospital real estate. This does not include the $30 million commitment under the accordion that we recently received. Of the $450 million, $341 million is represented in revolver facilities and the remainder represented by net cash of approximately $109 million. So, in closing as a result of these recapitalization measures, we are operating today with a very low debt ratio of 22% to gross real estate assets and our net debt to recurring EBITDA on our last quarter annualized basis is only 2.7 times. We have no near debt maturity issues and we have substantial access to liquidity in order to pursue attractive investment opportunities in health care real estate. Moving to guidance, historically, our policy has been not to provide estimates of future quarterly financial results. We have provided estimates of annualized FFO based solely on assumptions about a specific portfolio and that’s what we have done again this quarter. Based solely on the June 30, 2010 portfolio, the company estimates that annualized, normalized FFO per share would approximate $0.60 to $0.64. The company further continues to estimate that its existing portfolio of assets plus approximately $450 million of assets expected to be acquired with available liquidity will generate normalized FFO between $0.94 and $0.97 on an annualized basis once fully invested. This estimate assumes that initial yields on new investment will range from nine and three quarters to 10.5%. Total debt to total asset value subsequent to acquisition of $450 million of new properties is expected to be approximately 43%. This estimates do not include the effects if any of cost and litigation related to discontinued operations, real estate operating cost, interest rate swaps, right also the straight line rent or other non-recurring or unplanned transactions. In addition, this estimate will change if $450 million are not completed or such investments initial yields or lower or higher than the range of nine and three quarters to 10.5%. Market interest rate changed, debt is refinanced, assets are sold, the Sharpstown and River Oaks properties are sold or leased, other operating expenses vary or existing leases do not perform in accordance with their terms. This further includes estimated GNA expense of approximately $5.5 to 6 million per quarter, of which approximately $1.5 million is estimated to be non-cash share based compensation expense. As I mentioned earlier, included in GNA this quarter is approximately $600,000 in acquisition cost related to successful and completed acquisitions. Again, this reflects a new accounting pronouncement that requires such cost that previously were capitalized into the cost of the acquired assets to be expensed in the period inferred. Our future quarterly estimate does not include any such estimates. Finally, this exclude to other unique and non-routine items of income expense, such as write-offs of straight line rent, asset impairments, property sales, lawsuit recoveries and other similar items. That concludes our prepared remarks for today. I will now turn the call back to the operator and she will open it up for any questions that you may have. Operator?
Operator: (Operator Instructions) Your first question comes from the line of Jerry Doctrow from Stifel, Nicolaus. Please proceed.
Jerry Doctrow – Stifel, Nicolaus & Co., Inc.: Hi, good morning. Just a general one and you may have addressed some of this as you started because I came on a few minutes late. But I guess I was just curious on the hospital sides, sort of how you’re seeing basically operator plans play out given kind of the healthcare reforms, some of the reimbursement changes, you touched on some of your public companies reporting, but I haven’t got a chance of looking at any of that yet. And your sense is that – I guess, really also how it impacts sort of their demand for capital, their willingness to do deals, that kind of thing.
Edward Aldag: Jerry, I said, all but one of our publicly reporting companies had reported I believe (inaudible) was actually reporting this morning at the same time that we were. But all of them have reported good admissions, good EBITDA numbers, all of the hospital operators that we’re currently negotiating with properties are at much in the same position that we are, they’re back in the growth mode. They feel very good about where they are going forward under the health – new healthcare legislation and we feel good about hospitals in general as I’ve said previously on calls like this and other meetings that we feel very good about the general acute care hospital in general under healthcare legislation and where they will be at the top of the pyramid for healthcare delivery systems going forward.
Jerry Doctrow – Stifel, Nicolaus & Co., Inc.: And are there any types of investment activity for outpatient or is it simulating deals, just any sense about given reform, given that we’re going to see the influx of new insured patients out a few years, kind of what you wanted to do in the people’s kind of investment thinking.
Edward Aldag: Well, Jerry, I don’t – we haven’t seen any additional move toward the outpatient. We’ve seen a large number of operators that have had plans for awhile to replace facilities, to upgrade their facilities now going forward with those plans. And so most of – almost all of what we’re talking about it looks exactly like our current portfolio, the in-patient acute care hospitals.
Operator: Your next question comes from the line of Michael Mueller from JPMorgan. Please proceed.
Ralph Davies – JPMorgan: Hi, good morning, guys. It’s Ralph Davies on the line with Mike. I just wanted to walk through the $0.60 to $0.64 of guidance that you provided. And if you look at that relative to what you’ve done over the first part of the year, that implies a run rate of about $0.14 a quarter. And if you look at on a sequential basis, $0.16 after you factor in those one-time $0.15, if you exclude the operating expenses, then I guess it’ll probably keep going. I guess it’s just – it looks kind of flat going forward, and I’m just wondering if that maybe I’m a little conservative given natural rental growth, et cetera.
Steven Hamner: Yes, well, let me just clarify the guidance. I don’t know how many – how long you’ve been listening to our calls. But our policy, because we’re relatively new even though we’ve – we’re probably now five years and we’re relatively small, even though we’re at a $1.04 billion now. Our policy has been especially in growth modes like we are right now not to try to give quarterly guidance, because it’s just too difficult to predict the timing and amount of the acquisition activity. So it becomes a target that moves all the time and nobody can possibly hit it. So our $0.60 to $0.64 per share annualized estimate is based solely on the June 30, 2010 balance sheet. It assumes no acquisitions, it assumes no growth in the rental rates through the contractual adjustments, and it assumes nothing, for example, I went through the interest rate swap transaction that we did. It doesn’t assume any of those things. It’s just to give some level of guidance as to what the portfolio is doing on a status quo basis. Now, going to the next part of our guidance, if we successfully invest our available liquidity, which to date, again before the recent commitment (inaudible) is about $450 million. Then we expect that level of a portfolio to generate on a run rate basis $0.94 to $0.97 or more. So absolutely the $0.60 to $0.64 should not be looked at our estimate of our quarterly earnings for the foreseeable future. It is not that at all. That is not our estimate. We’d fully expect to continue to make accretive acquisitions. In our view, we’re confident that they will be material and size and hence the hope to plan in the expectation is that we will be at that higher run rate sooner rather than later.
Ralph Davies – JPMorgan: Yes, sorry, I think my question wasn’t clear. I was just talking about core portfolio performance, so recognizing that that’s not going to be with the numbers actually come out. I guess, I was just – it looks to me that you’re kind of implying that your core portfolio will perform essentially kind of a flat basis relative to where you are right now. And so, I guess what you’re saying is, you’re not assuming any contractual – so within the core portfolio, you’re not assuming any contractual rental in those numbers to get there, so okay. So excluding acquisitions, is that – are you still could get – you still could potentially beat that kind of end of your guidance?
Steven Hamner: Well, yes. If excluding it – I mean excluding acquisitions, we expect that we’re going to be $0.60 to $0.64.
Edward Aldag: Ralph, our escalators happen for the most part in January of every year.
Ralph Davies – JPMorgan: Okay, thank you.
Operator: And your next question comes from the line of Tayo Okusanya from Jefferies and Company. Please proceed.
Tayo Okusanya – Jefferies and Company: Yes, good morning, gentlemen. How are you?
Edward Aldag: Hi Tayo.
Tayo Okusanya – Jefferies and Company: Hi. I guess from the acquisitions perspective, I know you did make positive comments that you like what you see out there in regards to the pipeline and pricing and things like that. But I guess what are you waiting for before you decide to put some of your well earned liquidity to work?
Edward Aldag: I was not waiting on anything. As you know, we’ve already put to work $74 million of that. And as I said previously on the call, we are currently negotiating with a number of other hospital operators and we hope to be able to announce those acquisitions soon. We are not going to announce acquisitions until they close. We announced that we’re working on the $74 million hospitals, because of the equity offering and the requirements with the security filings. But as it’s always been our policy, we will wait until we close. So we have a lot that we’re working on right now, but we’re not going to get into any detail of it, because things happen until they actually close.
Tayo Okusanya – Jefferies and Company: Any updates on River Oaks and Monroe at this point?
Edward Aldag: Well, as I said earlier in the call, on the River Oaks, we continue to work with the potential purchaser for the south campus. We are moving forward on the north campus as a multi-tenanted building, it will most likely end up with three or four tenants. We’re currently negotiating with the several operators to take force there. We’ve begun the process of putting together a team to not only do the hurricane renovations, but also we’ll have to do some configuration, because of the multi-tenanted as opposed to one tenant. We still expect that on the north campus that we will end up with a productivity rate much higher than where we were even before that particular facility closed. On Monroe, we are currently negotiating with four different hospital systems about taking over there. And, as I said in my script earlier that, that’s all we can say right now, because of the confidentiality agreements we’ve entered into with those entities.
Tayo Okusanya – Jefferies and Company: Okay, very helpful. Thanks guys.
Edward Aldag: Thanks Tayo.
Operator: (Operator Instructions). Your next question comes from the line of Todd Stender from Wells Fargo Securities. Please proceed.
Todd Stender – Wells Fargo Securities: Hi guys, thanks. Your current pipeline that you’re referencing, are these – in general, are these direct deals, are you getting better pricing than say if they were widely marketed or are they widely marketed?
Edward Aldag: It’s a combination, Todd. The – most of them are direct deals with the operators like the three that we just closed on recently. They were actually in a situation where one of the deals was being widely marketed, we knew the operator or the developer in that case owned two other hospitals with the same operator, and we made an offer for all three of them. So their situation were one of this properties was being widely marketed, but nobody else was making an offer on the other ones, because they weren’t technically for sale. But for the most part, we’re dealing with the operator of the end user.
Todd Stender – Wells Fargo Securities: Okay. And any similarities on the markets that you’re seeing or health systems or is it pretty spread out would you say with some of these deals?
Edward Aldag: Well, similarities being that for the most part the – 90% plus of them are for-profit entities, they’re located all across the country, they’re – the mix looks very similar to our existing portfolio which is approximately 70%, 75% general acute care hospitals remaining being post acute care. But a good strong operators.
Todd Stender – Wells Fargo Securities: Okay. And, finally, just with your comfort with Prime – Prime I think you mentioned is now 27% of your assets. Would you comfort level still be, say, if it was 20% – 20%, 25%, I guess for your level? And then, part two is, what do the rating agency say, do they have a certain threshold that they’d like to see?
Steven Hamner: Well, clearly if it goes down from 27.5% to the range in the 22% that you mentioned, we’re – obviously we’re – we’ll remain comfortable. We’ve been comfortable with Prime when they’ve been as high as 38%. They are particularly strong operators. And as we always try to point out, I think Ed did earlier on the call is, we really look at our hospitals on a location basis. And no single Prime hospital now represents more than about 6% of our total assets. So we remain comfortable with Prime. And, I’m sorry, Todd, I forgot the second part of your question.
Edward Aldag: Rating agencies.
Steven Hamner: The rating agencies – well, obviously, our debt is rated and they take a very close at our tenant base and very few of our tenants actually are rated. When we did our last rated deal, Prime wasn’t rated, by at least one of the agencies. And so, clearly, that goes into the mix of credit underwriting. But it has not impaired us from either accessing financing or acquiring additional assets.
Todd Stender – Wells Fargo Securities: Okay, thanks guys.
Edward Aldag: Thanks Todd.
Operator: Your next question comes from the line of Karin Ford from KeyBanc Capital Markets. Please proceed.
Austin Wurschmidt – KeyBanc Capital Markets: Hi, this is Austin Wurschmidt here with Karin Ford. I was just trying to get a sense of how much you guys are spending to build out the north campus at River Oaks?
Edward Aldag: We haven’t finished that analysis yet. We have just started the process of meetings with the architects and the contractors. So as soon as I have that number, we’ll let you know.
Steven Hamner: But, when Ed said earlier that our expectation on north is that the yields will be substantially higher and stronger than what we had originally, that includes adding in a fairly significant a broad estimate of the additional cost that we will – we will be putting into that next few months.
Austin Wurschmidt – KeyBanc Capital Markets: That partly answers my next question. I mean, how much of that build out do you think then will come from the insurance proceeds versus what you guys (inaudible) out of pocket?
Edward Aldag: That’s what I was about to comment on and that’s an unknown right now, because as you can imagine, dealing with insurance companies on this type of issue is a lot of fund. And so there is not an agreement between the two parties as to exactly what mix that will be. But one of the problems that we’ve had is that has been taking so long that it’s just – it’s been a delay, but we’re going to go forward and work that out as we go along with the insurance company.
Austin Wurschmidt – KeyBanc Capital Markets: Okay, great. Thank you.
Operator: There are no further questions at this time. I’ll turn the call back over to Ed Aldag for closing remarks.
Edward Aldag: Again, I thank all of you for your interest. If you have any further questions after the call or later in the date, please feel free to call Charles Lambert, Steve, or myself. Thank you very much.
Operator: Ladies and gentlemen, that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.
You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited.: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY’S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY’S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY’S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!